Operator: Welcome to TTEC's Fourth Quarter and Full Year 2023 Earnings Conference Call. [Operator Instructions] This call is being recorded at the request of TTEC. I would now like to turn the call over to Paul Miller, TTEC's Senior Vice President, Treasurer, and Investor Relations Officer. Thank you, sir. You may begin.
Paul Miller: Good morning, and thank you for joining us today. TTEC is hosting this call to discuss its fourth quarter and full year financial results for the period ended December 31, 2023. Participating on today's call are Ken Tuchman, Chairman and Chief Executive Officer of TTEC; Shelly Swanback, President of TTEC and Chief Executive Officer of TTEC Engage and Francois Bourret, Interim CFO and Accounting Officer. Yesterday, TTEC issued a press release announcing its financial results. While this call will reflect items that are discussed in that document, for complete information about our financial performance, we also encourage you to read our 2023 annual report on Form 10. Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinion as of the date of this call, and we undertake no obligation to revise this information as a result of new developments that may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our 2022 annual report on Form 10-K. A replay of this conference call will be available on our website under the Investor Relations section. I will now turn the call over to Ken.
Kenneth Tuchman: Good morning. and thank you for joining us today. 2023 was a dynamic year to say the least. Of the past several quarters, we've been discussing the challenges posed by the macroeconomic environment on businesses across industries and geographies. As a strategic CX technology and services partner for many of these large and complex enterprises, the market dynamics in the second half of the year moderated our performance in 2023. For the year, revenue was $2.46 billion. Adjusted EBITDA was $272 million or 11% of revenue. And adjusted EPS was $2.18 per share. In 2023, we had some bright spots as we made progress diversifying our business with several new clients, geographies and offerings. We grew our client base with approximately 100 meaningful new relationships in TTEC Digital and TTEC Engage. We completed the strategic phase of geographic expansion with several new offshore locations and laid the groundwork to scale and roll out new operations in many new countries this year. We added multiple new offerings to our portfolio, including expanded and continually growing ecosystem of AI-enabled solutions for TTEC Engage and TTEC Digital. We built on our premier partner status with our leading CX technology and hyperscaler partners and we continue to be recognized as the best employer by Forbes Magazine for the third consecutive year. As we move to 2024, the macroeconomic environment continues to be fluid, with even further headwinds arising both domestically and abroad. Over a third of the global economy is officially in recession, with an even larger percentage trending in that direction. While we are seeing momentum with new client whims across both business segments, we expect these incremental headwinds to persist and continue to necessitate a conservative outlook for 2024. Our view on 2024 reflects the current economic backdrop and three very specific challenges in our engaged segments that are putting pressure on our outlook for both revenue and margin. The first challenge relates to a conservative client mindset. To meet short-term budget constraints, some clients are driving their forecast lower and in many cases changing their forecast horizon from 90 days to month to month until they get better visibility. In turn, these actions are reducing our visibility and impacting our revenue forecast. The second challenge is isolated to a large, long-term client. One of our tenured clients recently informed us that they plan to exit one of their many lines of business that we have supported for multiple years. While our relationship remains very strong with this client, and we continue to service their customers across several other business lines, the discontinuation of this one line of business will have an impact on our top and bottom line in 2024. The last challenge is one of timing, a topic that we've discussed in our past conference calls. In the last half of 2023, several new prospects delayed decision-making due to lack of visibility and spending constraints. Consequently, our booking levels were significantly lower than in the past quarters. As we turned the corner into 2024, several of these opportunities closed and became wins. The combination of delayed client signings from the second half of 2023, along with the time that it takes to fully ramp these clients, is creating a lag effect. In 2024 that delays normalized revenue run rate and margin. To offset these challenges, we're laser focused on execution with a keen eye towards margin optimization. Across TTEC, AI is enabling us to rewire our business and unlock innovation in everything that we do. Every client pitch, every solution, every process provides an opportunity to improve with AI capabilities woven in. Now let me share an update on our TTEC engaged priorities. Due to our growing client demand, we're scaling our new offshore geographies and driving improved profitability. We've established anchor clients in each of the new geos and thus far demand is robust. We expect margins will improve as we drive more volume into these offshore locations. Next, we're helping our clients pursue the right AI strategy that balances human AI-driven experiences. Our practical and data-driven approach to integrating AI is focused on delivering efficiencies without sacrificing empathy and quality. We're integrating these modern tools into operations to automate administrative task, personalize and accelerate associated trading, and unlock valuable insights across the customer lifecycle. We've moved into full production with several clients and while still early days, the improvements in customer associated experiences are compelling. And last, we've accelerated our margin optimization initiatives that will yield efficiencies going forward. Shelly will expand further on our initiative. Shifting gears to TTEC Digital. Our deep and differentiated partnerships with all the premier CX technology players and hyperscalers has established us as the leading CX transformation partner operating at the intersection of CCaaS, CRM and AI. With complex technology implementations across the globe, clients are embracing us as a trusted partner that understands the practical application and the economics of AI. They're looking to us for our experience designing, building, and operating sophisticated CX platforms that integrate into their existing digital ecosystem and deliver meaningful ROI. With our differentiated approach in TTEC Digital, we achieved record bookings in the fourth quarter and expect this momentum to continue through 2024. For 2025 and beyond, we expect to deliver double digit growth. We're successfully increasing the percentage of professional services and recurring managed services that deliver higher growth and margins. Our offerings lead to more transformational deals that take advantage of our full suite of CX solutions. These engagements are a critical enabler of our growth. We're confident that our go-forward plan for TTEC will pave the way for significantly improved results as we exit 2024, setting us up for renewed growth and improved profitability in 2025 and beyond. Now transitioning to our capital deployment strategy, we have always tried to optimize our capital structure to the benefit of our shareholders, whether it be M&A, share buybacks, or dividend to maximize shareholder value. Given the current environment, earlier this week, our board made the decision to prioritize our capital initiatives and debt reduction associated with strategic acquisitions. The decision was based on the continuous economic headwinds, persistently high interest rates, which we expected to begin to normalize by now, and the desire to reduce our debt in order to continue investing in the future. As revised, the dividend is in line with our stock price and the dividend yield typical for our industry and the broader market. This reprioritization of our capital allocation will allow us to continue to invest in growth, increase the flexibility with our capital structure, accelerate value creation, and continue the expansion of our ecosystem of AI solutions. Before I close, I'm thrilled to welcome Kenny Wagers to TTEC. He officially begins his role as Chief Financial Officer today. Kenny's finance and operational experience includes complex operational transformations and significant cost optimization initiatives. His career spans almost three decades and includes leadership roles in large Fortune 500 corporations, including UPS and Amazon, as well as venture-backed startups. I'd like to personally thank Francois Bourret for his contribution as interim CFO. He will continue to be a valuable member of our executive leadership team as TTEC's Chief Accounting Officer. In closing, I'm disappointed in our 2024 outlook. It does not reflect the standard to which we hold ourselves accountable. Please know that you have my full commitment, along with the rest of TTEC's leadership and our board of directors. We've navigated change multiple times before and have always come through stronger. I'll continue to be inspired by the dedication of our employees across the globe and grateful to our growing and valued client base. We look forward to sharing our progress throughout the year, and now I'll hand it off to Shelly.
Shelly Swanback : Thank you, Ken, and good morning. As Ken just described, 2023 was a year of challenges and also some notable wins. Over the past 12 months, we made continued progress with our diversification across clients, geographies, and solutions. However, our disappointing outlook for 2024 reflects three specific challenges primarily impacting our engage segment. First, our revenue is being impacted by the carry forward from 2023 of conservative volume forecasts and budget constraints at our embedded base clients, as well as the shift to more offshore delivery. In this environment, our clients are more frequently adjusting their volume forecasts, which is impacting our visibility. Next, one of our largest clients recently informed us of their plans to exit one of their lines of business which will impact our revenue. Our relationship with this client remains extremely strong as we continue to support them across many other lines of their business. And lastly, the delayed client signings from both the second half of 2023 and early 2024 are impacting our 2024 outlook. The typical lag effect between signing and full ramp of new opportunities is delaying normalized revenue and margins. Given these short-term challenges impacting the top line of engage, we're rebalancing our fixed and variable cost structure. We have a rigorous focus on fine-tuning operational delivery across every aspect of our business. However, in the near term, our fixed cost structure will be higher as a percentage of revenue. We're confident these fixed costs will realign with revenue and we will get back to positive growth in 2025, delivering double digit EBITDA. I echo Ken's sentiments about our disappointing 2024 outlook. and I stand by his confidence in our path forward. In 2023, we demonstrated progress on our diversification strategy, and we're well-positioned to build on that momentum. Now, let me discuss the progress with each of our business units, starting with Engage. Our investments in geographic expansion and AI-enabled solutions are paying off with recent new wins. These expanded capabilities are helping us meet our clients' most pressing CX demands, including a shift from onshore delivery to more cost-effective nearshore and offshore geographies, a desire to consolidate and move away from smaller regional players and diversify from the large players, and a need for an innovative AI-enabled approach that is scalable and also economically viable. So far in the first quarter, we've won several new strategic growth accounts that are multi-geo and have the potential to scale well beyond the initial scope of our work. While these new clients will take time to fully ramp, we're already pursuing additional growth opportunities with these clients. Overall, our Engage pipeline remains strong and includes many similar or large opportunities with new clients that have complex requirements and diverse geographic needs. The pipeline also has several cross-sale opportunities, including our managed services and AI-enabled solutions at our embedded-based clients. Over a third of our sales pipeline is now made up of deals with annual contract values over $10 million. In addition, our offshore pipeline has grown more than 35% year-over-year and represents over 50% of our total pipeline. Given client demand, we will continue to invest and scale additional new geographies and are on track to deliver approximately 35% of our revenue offshore by the end of the year. One new deal highlighting the benefits of our diversified geographic approach is our recent win in financial services. Our relationship with this client began with TTEC Digital, who's implementing a new global CX technology platform. We expanded our services to include a comprehensive workforce optimization model and offshore delivery. We're now ramping frontline delivery with financial ambassadors, as well as back office compliance teams across multiple geographies for the client. We're starting in Latin America with plans to begin work in APAC this summer. While our business has a long sales cycle, we're encouraged by the number of active opportunities with new prospects who have the potential to grow into strategic growth accounts, fueling our client diversification strategy. Now, onto the topic of AI. Clearly, this is a focus for all clients in the current environment. While many of our clients have completed proof-of-concepts, in many cases, the commercial viability of scaling these solutions is still unclear. Our ecosystem of AI-enabled services is helping to eliminate the noise. With a focus on augmenting associate productivity, we're currently operating about 50 client programs, involving close to 10, 000 AI-enabled associates, or over 20% of our total associate population. We expect this percentage to continue to scale over the months and years ahead. Our ecosystem of AI solutions and engage includes language enhancement, generative learning, knowledge management, and conversational intelligence, to name a few. Clients are keenly focused on the differentiated and impactful AI approach. We plan to keep expanding our ecosystem by introducing new AI solutions as they mature. We believe that we are well-positioned to continue to innovate and meet client demand. Wrapping up Engage. While our outlook is disappointing because of the challenges we noted earlier, we're encouraged by our progress. The demand for our new geos continues to grow. We're winning with new strategic growth accounts, and we are weaving AI into all of the client engagements. Moving on to TTEC Digital. In the fourth quarter of 2023, we saw client decision-making accelerate, and we delivered record bookings for the quarter. This year, the team is off to a strong start in the first quarter with continued bookings traction and a growing revenue backlog. This momentum gives us confidence that outside of our Cisco business, we will deliver strong double-digit revenue growth in both professional services and recurring managed services. Our bookings momentum is broad-based across the sales pipeline and includes a very healthy mix of transformational deals and exciting follow-up opportunities with current clients. Our focus on cross-selling our full suite of capabilities to expand our impact at existing clients is delivering results. More than half of our current pipeline is made up of follow-in opportunities with existing clients, and these opportunities move faster through our sales process. Follow-in opportunities include helping our clients expand the scope and scale of their CX cloud platforms and unlocking the power of AI and analytics. Our work with a high end travel company is one example of the differentiated value of TTEC Digital focus on client business impact. We were chosen to help redefine their end-to-end customer experience across the entire customer journey. Our team started by building a strategic roadmap that identified and aligned their CX priorities. We then prioritized migrating their contact center technology to the cloud, consolidated all of their customer data into the state-of-the-art CRM platform, and simplified the associate experience by integrating all of the systems into a single pane of glass. The early results include a double-digit increase in both sales and service handle times, and a notable increase in sales conversions. Our work with this client is a great example of how TTEC Digital is improving customer experiences at the intersection of CCaaS, CRM, and AI and analytics. To take full advantage of our momentum and demand for TTEC Digital solutions in the market, we're increasing our investments in partnerships, AI, product innovation, sales, and talent to drive further growth. In closing, across all of TTEC, we're laser-focused on margin optimization, as well as diversification of our clients, partnerships, solutions, impacted to our [inaudible]. We're committed to improving cost efficiency in the business as an ongoing discipline, ensuring our competitiveness, rather than viewing it as a one-time optimization effort. I stand by Ken's confidence in our team and our path forward. We have strong fundamentals in place, including trusted new and tenured client relationships, a differentiated portfolio of proven CX solutions, and a committed and dedicated team. We're well-positioned to overcome the current dynamics, and I look forward to sharing our progress in the quarters to come. And now, I'll hand it over to Francois.
Francois Bourret : Thank you, Shelly, and good morning. I will start with a review of our fourth quarter and full year 2023 results before providing context into our 2024 financial outlook. In my discussion on the fourth quarter and full year financial results reference to revenue is on a GAAP basis, while EBITDA operating income and earnings per share are on a non-GAAP adjusted basis. My full reconciliation of our GAAP to non-GAAP results is included in the tables attached to our earnings press release. The fourth quarter financial performance was in line with our expectations. On a consolidated basis, revenue exceeded our guidance. Operating income and EBITDA margins would have ended in the high end of our guidance range if it wasn't for a $7.3 million unforeseen one-time cost for employee-related health care expenses. As a result, our profit margin ended near the low end of the range. While this negatively impacted both segments, I will provide details in my Engage segment review given its larger impact of that business unit. On a consolidated basis for the fourth quarter of 2023, compared to prior year period, revenue was $626 million compared to $658 million, a decrease of 4.9%. Adjusted EBITDA was $58 million or 9.2% of revenue compared to $87 million or 13.1%. Operating income was $42 million or 6.7% of revenue compared to $70 million or 10.6%. And EPS was $0.37 compared to $0.91. Foreign exchange had a $6 million positive impact on revenue in the fourth quarter over the prior year period. While negatively impacting operating income by $2 million, primarily in our Engage segment. On a consolidated basis for the full year 2023, compared to the prior year period, revenue was $2.46 billion compared to $2.44 billion, an increase of 0.8% and a decrease of 1.1% organic. Operating income was $200 million or 8.1% of revenue compared to $249 million or 10.2% in the prior year. Adjusted EBITDA was $272 million or 11% of revenue compared to $320 million or 13.1%. And EPS was $2.18 compared to $3.59 in the prior year. Foreign exchange had a $4 million positive impact on a revenue, while negatively impacting operating income by $2 million, primarily in our Engage segment. Turning to our fourth quarter and full year 2023 segment results. In our Digital segment, the fourth quarter revenue was $119 million, a decrease of 2.1% over the prior year period. Digital revenue excluding our Cisco practice grew 7.1% in the fourth quarter. Operating income was $18 million or 14.8% of revenue in line with the prior year period. Normalized for the $1 million additional healthcare expense, digital operating income was 15.6% of revenue. In the fourth quarter, Digital delivered a solid performance relative to our expectations on both top and bottom lines. In addition, and as mentioned by Ken, Digital exceeded our bookings forecast for the quarter, in part attributable to prior quarters delayed engagements closing in the fourth quarter. Professional services bookings were particularly strong with high demand across most of our CX consulting practices. Recurring managed services bookings were also strong in the quarter. Digital backlog increased to $343 million, or 69% of our 2024 guidance at the midpoint. An improvement from 65% in the prior year. On a full year basis, Digital 2023 revenue increased by 5% to $487 million over the prior year period. Operating income was $62 million or 12.8% of revenue compared to $65 million or 13.9% in the prior year period. Full year 2023 revenue benefited from strength in most of our CX technology practice areas. Recurring managed services and professional services revenues both grew 2% over the prior year. Recurring managed services continues to represent approximately 55% of digital total revenue. If we exclude the Cisco practice over the same period, the Digital segment grew 9.6%. The modest operating margin pressure on a full year basis was a function of revenue mix an investment in CX leadership and engineering talent. We are encouraged by the revenue mix of opportunities and increased number of clients modernizing their CX technology infrastructure, including adoption of cloud-based technologies. We are also pleased with the continued digital bookings momentum in the new year. Our Engage segment revenue decreased 5.5% to $507 million in the fourth quarter of 2023 over the prior year period. Operating income was $24 million or 4.8% of revenue compared to $52 million or 9.7% of revenue in the prior year period. Engage fourth quarter revenue exceeded our guidance due to stronger volume than anticipated in the financial services and telco verticals. As I mentioned, our Engage segment’s operating income margin was on the lower end of our guidance range primarily due to an unprecedented high level of employee-related healthcare claims. TTEC is self-insured in the United States and faced an elevated number of high-cost claims in December that impacted us by approximately two times the normal level. We do not expect this situation to reoccur in future years. These unforeseen costs decreased the Engage operating income by $6.3 million in the fourth quarter. Excluding the nonoperational increase in healthcare costs, Engage operating profit margin was 6%, meeting the high end of our guidance range. On a full year basis, Engage 2023 revenue was $1.98 billion, relatively unchanged over the prior year period. Operating income was $138 million, or 7% of revenue compared to $184 million, or 9.3% in the prior year period. The Talent asset acquisition in April 2022 contributed 2.3% of inorganic revenue growth in 2023, offset by volume pressures in the second half of the year for the reasons previously discussed. The Engage segment of the main environment was softer than initially anticipated in the second half of 2023, primarily driven by client's conservative views and lower projected 2024 budget. While we are seeing some positive signs of recovery, the timing difference between near-term volume reductions and the time to launch new programs is temporarily putting downward pressure on revenue. The Engage backlog for the next 12 months is $1.71 billion, or 94% over 2024 revenue guidance at the midpoint of the range, relatively unchanged over the prior year. Engage last 12 months revenue retention rate is 95% compared to 97% in the prior year. I will now share other 2023 metrics before discussing our outlook. TTEC paid a $0.52 per share or $24.7 million semi-annual dividend on October 31, 2023. On February 27, 2024, the board declared the next semi-annual dividend of $0.06 per share or $2.9 million payable on April 30, 2024 to shareholders of record of April 3, 2024. TTEC's board of directors decision to reduce the dividend reflect the prudence shift to prioritize our capital deployment towards continued investments in sustainable growth initiatives in addition to debt reduction associated with strategic acquisitions. We have also taken other measures to increase our financial flexibility under our amended credit facility in addition to taking other meaningful actions to improve our cash flow, including margin optimization initiatives, which I will discuss shortly in my outlook remarks. As of December 31, 2023, cash was $173 million with $999 million of debt, of which $995 million represented borrowings under our recently amended $1.3 billion credit facility. Net debt increased year-over-year by $16 million to $827 million. The stronger free cash flow of $77 million in comparison to $53 million in the prior year was more than offset by acquisition related investments and capital distributions. Cash flow from operations increased to $145 million in 2023 compared to $137 million in the prior year, a function of stronger working capital cash conversion offset by the lower profitability in large part due to $39 million higher interest expense over the prior year. Capital expenditures were $68 million or 2.8% of revenue for the full year 2023 compared to $84 million or 3.4% in the prior year. The decrease is primarily related to reduced level of IT infrastructure investment despite accelerated geographic extension efforts. Our full year normalized tax rate was 22.7% in 2023, relatively unchanged from 22.8% in the prior year, primarily a function of jurisdiction mix of income. Transitioning to our 2024 outlook, I will now provide some context supporting our financial guidance. As Ken outline, our Engage segment faces three specific challenges impacting our 2024 financial forecast. Most notably, a long tenure client will be exiting a line of their business supported by TTEC which negatively impacts Engage 2024 revenue and represents approximately half of the 8% revenue reduction. In addition, the continuous conservative mindset and budget constraints from select enterprise clients primarily explains the remaining 2024 revenue reduction, especially in the first half of the year. The revenue decline and timing to right-size the constructure while balancing the support needed to ramp revenue in the second half of the year explains the 220 basis point margin compression in 2024. As mentioned, our Engage margin optimization initiatives are meaningful and designed to transform the way we work. It targets select areas of our business and adds 130 basis points to our 2024 margin. That said, during this transition year, the EBITDA margin percentage will not fully reflect the annualized contribution from these margin optimization initiatives. As revenue grows, the margin improvement efforts are anticipated to contribute to a more impactful margin run rate in 2025. In our Digital business, we expect solid performance throughout the year. Our high margin professional services and recurring managed services are expected to grow by 11% in 2024, driven by the high demand for cloud migration and CX technology. However, the one-time on-premise related revenue that averages approximately 10% of digital revenue in recent years is anticipated to naturally decline by approximately 50% in 2024, putting pressure on digital overall revenue growth. While the shift in the revenue mix will improve digital profit margins, over the long term, in 2024, it will be upset by the continuous investment in Talent, as well as sales and marketings to maintain double digit growth in 2025 and beyond across each of our practices. Turning to the midpoint of our 2024 guidance, as outlined in greater detail in our fourth quarter and full year 2023 earnings press release, GAAP revenue of $2.32 billion, a decrease over the prior year of 5.8%. Adjusted EBITDA of $237 million, a decrease of 12.7% over the prior year, and 10.2% of revenue compared to 11% in the prior year. Non-GAAP operating income of $172 million, a decrease of 14.4% over the prior year, and 7.4% of revenue compared to 8.1% in the prior year. Non-GAAP earnings per share of $1.51, a decrease of 30.8% over the prior year. Other relevant guidance metrics include capital expenditures between 2.7% and 2.8% of revenue, of which approximately 55% is growth oriented. The full year effective tax rate between 23% and 25%. Please reference our commentary in the business outlook section of our fourth quarter and full year 2023 earnings press release to obtain our expectations for the first and full year 2024 performance at the consolidated end segment level. In closing, we ended 2023 in line with expectations, but the recent dynamic in the Engage segment are causing a reduction in our 2024 revenue and margin outlook. We are confident in our go-forward plan that focuses on growth and margin improvement with a series of initiatives in motion to support both. As Digital transformation continues to be a top priority for our clients, we are encouraged by the growing momentum with TTEC Digital. As we move forward, we will navigate the dynamic environment to position the company to exit 2024 with a view towards long-term profitable growth. I will now turn the call back to Paul.
Paul Miller : Thanks, Francois. As we open up the call, we ask that you limit your questions to one or two at a time. Operator, you may open the line.
Operator: [Operator Instructions] Our first question comes from George Sutton of Craig Hallum.
George Sutton: Thank you. Ken, you mentioned that you believe that one third of the global economies are in a recession today, and I know you've expressed a similar belief for the U.S. in effect being in recession. I would say the general narrative has been that we may be moving into a soft landing scenario. So I wondered if we can get a better picture of sort of your macro view as it pertains to your guidance and the expectation that you'll exit’ 24 in a better place.
Kenneth Tuchman: Hi George, good morning. When you ask my macro view, I'm not sure I'm understanding the question. I'm not an economist, so I want to make sure that I'm qualified to answer your question. So you want to just give me a little bit more color on your question so that I can be more accurate.
George Sutton: So there's obviously a macro view that is built into your guidance, and it includes the scenarios that we're seeing where clients are moving from 90 day visibility to month to month. You are seeing volume reductions in some clients. So I'm curious, how much of that is macro in your view, and when does that lift?
Kenneth Tuchman: Yes, I mean, I think that what we're seeing, I think the whole industry is seeing, I think is very simply that clients are operating and acting in a very conservative fashion. You can see that with everything from the cost optimization programs that they've announced to the layoffs that they've announced, et cetera. And so consequently, I think that many, many clients or many, many industries are seeing lower growth, and they're basically doing everything they can to try to anticipate what's in front of them. And I think that they don't necessarily know whether or not we're going to have a soft landing or whether things are just slowing down for a period of time. I would agree that in the US, that the consumer still is acting somewhat resilient, but what we're seeing is that the consumer is becoming much more conservative in their purchase decisioning. It's already showing up in what types of retail stores that they're going to versus where they were shopping at, et cetera, due to things like food prices being higher, due to the fact that their rents are at a much higher level than they've been as a percentage of their income, et cetera. So all-in-all, I think that we feel that the US hopefully can skate through this while a big chunk of Western Europe and other parts of the world are already in an actual recession. So our goal and our hope are that we will get through 2024 and we'll be right back to seeing growth in 2025. By then, interest rates will have moderated. By then, I think the Fed will feel that inflation has come down a bit. And I think the good news is what we're seeing is that clients are absolutely doing what they feel is necessary and critical, which is one of the reasons why our Digital business is showing good signs of growth right now because so many clients who want to take advantage of any form of AI realize that they now have to move off their bare metal systems and into the cloud. And so that's an example of where when a client has no choice to do something, they're doing it. And consequently, as we've said on several conference calls prior to this call, a high percentage of large enterprises do not have their contact center technology in the cloud as it relates to CCaaS and therefore we're benefiting from it. So sorry for the very long winded answer, but we believe that right now clients are no longer as let's say confused as they were in the second half. We're seeing decision making taking place. That said, we're seeing from the time that we get a verbal commitment to the time that a contract is signed is absolutely elongated. And again, is really kind of very typical of what we experience in environments where clients felt that they were going into a recession or where clients felt like they needed to tighten their belt. They ultimately go through and sign the contract, but I'm just simply telling you it's not like during COVID where there was an absolute sense of urgency and where we were getting contracts signed in 90 days and 120 days, et cetera. And so therefore, not only is the sales cycle elongated, but in the time of the verbal award to the time of the actual signing is taking a bit longer. I have no doubt that this is a temporary situation. We've experienced this before. We've been through multiple recessionary cycles. And so I'm very confident that this will lift and shall pass and that we feel we will be right back on track in 2025. But we want to be conservative, we want to be realistic about what it is that we're seeing.
George Sutton: Just a quick follow-up for Shelly. You talked about the proof-of-concept stage moving forward with a number of your clients and you mentioned 50 programs and 10, 000 associates affected by the AI programs. I'm not totally clear what you mean by that. I wondered if you could just explain that a little bit.
Shelly Swanback : Yes, good morning, George. So 50 client programs, meaning we have various kinds of, we're using various types or applications of AI at clients. So example, think of it as a personal assistant to help agents access information to do their job better. Generative learning in terms of using some of these new technologies to change the way that we train associates. Language enhancement, language neutralization sorts of technologies. And so we have a number of these programs under way of clients. We typically start with a proof-of-concept or a smaller number of agents to test out the technology in their environment, see how it works, learn how to train the agents better to use those technologies and then scale from there. And so it's impacting about 10, 000 agents across those 50 client programs. And we expect that over time, we'll have 100% of our agents that will be enabled with these various AI technologies. I mean, what I would say, relative, just more generally around AI is, we really see our clients right now leaning into the agent augmentation, sorts of use cases, the kinds of things that I just talked about because the business case for them is compelling and we actually have a set of tools that we're developing and testing, and continuing to scale ourselves. And we see compelling results. In one case, we saw 17% productivity increase from new agents by just giving them easier access to knowledge, if you will, sort of a personal assistant to help them find the information they need to do their job. Hopefully that answers your questions, Richard.
Operator: Our next question comes from Margaret Nolan of William Blair.
Kate Kronstein: Hi, everyone. This is Kate Kronstein on for Maggie Nolan. I was curious, are there any green shoots with clients that you guys are seeing that gives you hope that you could possibly hit the higher end of the guidance range?
Shelly Swanback : Yes, so let me start. First of all, as we said in the Digital practice, we've got really good booking momentum, and traction right now. We mentioned that over 50% of the opportunities in our pipeline right now are with existing customers. And I think this is important for two reasons. One, just demonstrates that as we expand our capabilities and the solutions that we can offer clients, not only just helping them migrate their technology to the cloud, but then expanding the use of that technology, adding AI, not just doing CCaaS, but getting into CRM, it gives us an opportunity to do more with our existing clients. And it's also important because those opportunities tend to move through our sales process more quickly. So that gives us good confidence in our Digital business. On the Engage side, I mentioned this idea that we've got a couple of early wins here this year. We're calling them strategic growth accounts. And what does that mean? Well, these are clients where we're starting initial scope of work, maybe in the $10 million a year range, but clients where we know we can expand our relationship. Ken mentioned that it's taking time from a verbal win to a contract to launching these services. One of the things that I'm pleased about is, with some of these new clients of ours, we're literally just in the early stages of launching the work that they've contracted, and we're already talking to them about new opportunities to be able to support them in other lines of business and then other scopes of work.
Kate Kronstein: Okay, great. Thank you, Shelly, that was helpful. And then just one follow-up, if I may, are you guys able to provide any detail on the line of business that the long-term client has continued and the general margin profile of this service?
Shelly Swanback : No, I mean, we're not in a position to share anything about this client situation. What I can just tell you is, this was a business decision they made based on their business factors. It didn't have anything to do with us. We just happened to be the main provider for them in this line of business, which is why it's having such an impact on our business.
Operator: Our next question comes from Michael Latimore of Northland Capital Markets.
Michael Latimore: All right, thanks. On the Digital side of the business, sounds pretty healthy there. Are we back to sort of normal sales cycle now, or is there still a little bit of ways to go? And then it also sounds like just the need for AI is driving a lot of the demand here. I just want to clarify that.
Kenneth Tuchman: I think we are definitely; I think the sales cycle is normalized, but I think it's normalized most likely by my previous comments, which is that there is so much of the CCaaS space that is not yet in the cloud. And a lot of our clients have technology that frankly is hitting end of life. And so consequently, that is really lighting a fire to get, to move them to the cloud. And it's why we feel confident that our business not only, our pipeline, not only did we have record bookings in fourth quarter, we feel very strongly about first quarter, and we feel that this will persist, and that 2025, we will see double digit growth as well as profit margins. So yes, we feel very confident in the space. As it relates to AI, I would say, yes. AI, all of our clients are talking to us about AI, but at the end of the day, before they can even get to AI and really properly take advantage of AI, they really need to have their capabilities in the cloud. So I think that AI might be one of the motivators just in general, but I also think the fact that they're receiving notice of end of life across a myriad of manufacturers that they're no longer going to support the platform that they were on.
Michael Latimore: Gog it. And then, I guess, staying on the topic of AI, I think there's been a general concern last couple of weeks, at least, that AI could, while it would benefit your digital business it might have an industry impact in terms of just slowing interaction volumes to the contact center. And by AI, I mean like virtual agents, not necessarily agent augmentation, but kind of what's your general view on AI longer term as it might have -- what kind of effect particularly virtual agents could have on the Engage business?
Kenneth Tuchman: What I would say is that we're embracing AI. We view it as a very -- we view it as a positive change. We view it as a huge opportunity. I can't stress enough that at the end of the day, the market part, the Engage marketplace, for the most part, is consolidated. There's, roughly speaking, five Tier 1 providers that are in the marketplace. And at the end of the day, all five of us are included in almost every major opportunity that's out there. What AI affords all of us, the entire industry, is an opportunity to show our clients a way to increase quality and lower overall costs to serve. Why does that matter? It matters because when you have a $400 billion TAM, of which only $100 billion has been outsourced, even with interactions that potentially become partially self-automated because they're more or less transactions, not interactions, the fact of the matter is there is more TAM and more opportunity out there than the top five competitors combined could ever handle. And I think, I still feel very confident that the captive operations are beginning to realize that A, they're not that good at doing this. The businesses become way too complicated, way too sophisticated, and requiring more and more geographies, more and more technologies and advanced processes. And so consequently, it's our belief that that embedded base is going to continue to be the gift that keeps on giving as they begin to look for ways to reduce their employee count and drive better productivity. So do I think that it's going to have an impact on very low-end transactions? Yes, but that's not a space that we're focused on. Our business is not providing what your bank balance is or when will my product arrive or whatever. That's just not the type of work that we're focusing on. The work that we're focusing on is work that typically is assisting our clients in acquiring, growing, and retaining their customer base and building a level of trust. And I think that you can only take a chatbot so far before it actually becomes disruptive in a long-term customer's relationship. And I can tell you that when we have our meetings with our client advisory board to a [inaudible] every single client that we have says that they are only interested in using AI in a selective way and that they are very conscious of the fact that if they were to over-self-serve that would have a negative impact on their business. So that's my way of saying that I think that it will have a positive impact. I think it'll drive more clients to wanting to work with companies that know how to work with these technologies. And it's our goal and our hope to benefit from it.
Operator: Our next question comes from Joseph Vafi of Canaccord.
Joseph Vafi: Hey, guys, good morning. Thanks for all the color. Maybe we could circle back just one more on AI here. And going back, Shelly, I know you said that the agent augmentation application in one instance, I think you said, drove 17% efficiencies, which is great, just trying to get a feel for how does that level of efficiency using an AI co-pilot or whatever you want to call it, how is that going to affect economics with clients on a maybe per transaction or contract basis? Do you see sharing some of those savings with the client? Or how does that play out mainly? And I have a follow-up.
Shelly Swanback : Yes, and just a clarification, the 17% was actually time to proficiency, meaning getting new agents up to speed and being able to be proficient at answering questions and doing their job. Having said that, I think there will definitely, first of all, I would say this, one of the reasons that we're winning these new clients right now is because of the AI tools that we're bringing to augment our agents. So I think this is absolutely something that's resonating with our clients. And in some cases, I guess in all cases, there'll be an opportunity to pass on some of the economics to our clients, but also for ourselves, right? In terms of time to proficiency, being able to keep agents engaged in their work, lower attrition, all of those things will have a bottom-up line impact for us and also for our clients.
Joseph Vafi: Yes, that's helpful. And then maybe just kind of switching gears around global delivery, I know you really worked hard on that and made a lot of progress in ‘23. How do we, as clients are onboarding this year, I mean and looking at volumes and there's -- and the drive to take costs down, how are you seeing kind of volume dynamics onshore versus offshore, new accounts where they're ramping maybe moving volumes around globally with existing, just kind of some color around those dynamics would be helpful. Thanks a lot, guys.
Shelly Swanback : Yes, great. Well, first thing I would just say is our expanded geographic footprint absolutely strategic to our growth and profitability going forward and absolutely resonating with our existing clients, but in particular helping us with these new client wins. But I'm encouraged by the wins that we've closed early this year and the ones we have in the pipeline, as Ken said, they're taking a bit longer than we'd like, but I'm very encouraged by that. And most all of our client wins right now are multi-geo. So leveraging both our offshore and nearshore locations driven by these new expansion geographies that we've talked about over the last 12 months. Now as clients move into some of these new geographies they start with a pilot or sort of a contained effort to start with and then we scale from there. And so that's why this lag effect that we're talking about in terms of scaling some of this work in these new offshore geographies is making an impact for 2024. But I would tell you lots of interest in Latin America, lots of interest in Africa in particular. And also, we're, as we've talked about, getting into the Asian language space more and more as well. And so we're excited about the demand that we've seen for our clients across all of those areas around the globe.
Kenneth Tuchman: Joe, I also want to just remind you as a backdrop that because we do a lot of complex financial services work that requires licensing, as well as a lot of healthcare work that requires licensing, that work has no risk of going offshore as it legally cannot. And then on top of that, we do quite a bit of public sector and federal work, and that work also cannot go offshore. So what I would say is the good news is that our sales energies and our sales efforts are very focused on winning offshore businesses, therefore we're seeking out clients that have the interest and the need to offshore. But the good news about the embedded base is that for the most part, it's very solid, so to speak, because of the nature of the licensing and of just the legal requirements, so to speak.
Operator: Our next question comes from Cassie Chan of Bank of America.
Cassie Chan: Hey, guys. Thanks for taking my question. I just wanted to touch on offshore again a little bit more. I know you guys mentioned that you're expecting it to increase to about 35% of revenues by yearend ‘24. What is it exiting 2023 right now? Is it going to be more of a gradual increase? And can you just comment anything about kind of the size of those engagements? Are they -- is there any difference that you're seeing now in the pipeline versus before? Thanks.
Francois Bourret: Yes, so just to start. So we exited 2023 with about 30% of our revenue being coming from offshore. And as you stated, we're going to increase it to 35%. When you look at, ultimately, the dynamic of offshore revenues where we're seeing growth next year expected to grow 5% year-over-year. So this is truly where we're seeing momentum right now in our top line and demand and that's been really accelerating with our extended footprint that we have now with multiple new geographies.
Cassie Chan: Got it. And can you just talk about some vertical dynamics that you're expecting in ‘24. I know you called out financial services and telco that were helpers for Engage but if any other color around what you're expecting to maybe do a little bit better or you're expecting new dynamics to continue or 1Q in ‘24. Thanks.
Shelly Swanback : Yes, let me let me maybe focus on where we see new client win opportunities. I would tell you that we have several new very exciting prospects in in our BSSI sector so financial services. We also have a couple of exciting wins that will be contracting here soon in the healthcare space. We will be at full ramp with our new client in PUBSEC in New York State Metro by the end of Q1. We also have a couple of very exciting PUBSEC deals. And then outside of those verticals, one of our wins here early this year is actually with a global retailer. So that is a space where we're seeing more and more. And also in travel, I would say we have a number of existing clients in the travel sector where we see growth opportunities. So those are the ones that come to mind first, Cassie.
Operator: Our last question is from Vincent Colicchio of Barrington Research.
Vincent Colicchio: Yes, Ken or Shelly, to what extent do you think some of the noise and confusion, if you will, around the impact of AI having an effect on demand?
Kenneth Tuchman: Go ahead, Shelly.
Shelly Swanback : Well, I mean, I think what I would just tell you is our clients want to talk to us about that, right? Because we're helping them sort out the noise and understand where they can really practically apply these AI solutions and get business benefits. So that's driving a lot of demand in the digital side. And as I said, every opportunity in Engage, we're talking to our clients about where to apply AI, particularly with these use cases around AI augmentation. So I think for us, it's driving a lot of great client conversation, lots of demand. As Ken said, every opportunity, every prospect, every pitch, we're talking about AI, whether it's a digital opportunity or an Engage opportunity.
Kenneth Tuchman: Let me though say a couple of things. Number one, it's really imperative to understand that because we have a digital division that has a very unique skillset of working with every single major hyperscalers in a very deep way, in a partnering way, down to the point where we're very involved in consulting with these hyperscalers helping them with their product development, et cetera. On top of that, all the major CCaaS providers where we have literally thousands of engineers that are our engineers that do absolutely nothing but integrate to their systems, the fact of the matter is that we can have an intelligent conversation with our clients about what it takes to actually bring in AI and to take advantage of it as well as understanding what are the best use cases that actually make the most sense. I wanted to clarify something based on your question. If your question is, is AI having an impact on volumes, the answer is absolutely positively not, no matter what. There was a bunch of uproar about a client that put out, not our client but a company that put out press release having a real success with AI and how it was reducing their customer service associates. This is a company that is way behind the times and when you go look at the AI that they are using which is online and very easy to validate, it is nothing more than the knowledge-based system. Virtually every client that we have already has a knowledge-based system and therefore it goes without saying if a client didn't have a knowledge-based system on the web, on the Internet, then of course you would be taking a lot more voice interactions than one who already has one. So what I would say to you is do we think that it will impact volumes? We absolutely think that it will impact interaction volumes but what we believe is more importantly is that it will enhance more of the complex interactions and allow our associates to get up to speed quicker, be more accurate with the information, have much more understanding of when to cross-sell, when to up-sell, and have much better data on where the client's mindset is so that they can serve the client in a much more sophisticated fashion. And look, this is like every hype cycle. It's going to take years before clients are going to be able to truly take advantage of AI. So, I hope I answered your question, and happy to take any other questions about this offline, if you have more questions.
Vincent Colicchio: Yes, that was a very good color, thank you for that. And then one other, are you seeing increased pressure on pricing or terms currently?
Shelly Swanback : Well, it's no doubt it's a competitive environment on the Engage side, but this is why we're leading with AI-enabled associates, our new geographic footprint, and we feel good about our competitiveness.
Operator: Thank you for your questions. That is all the time we have today. This concludes TTEC's fourth quarter and full year 2023 earnings conference call. And we disconnect at this time.